Operator: Good day, and welcome to the MMLP Third Quarter 2022 Earnings Call. [Operator Instructions] Finally, I would like to advise all participants that this call is being recorded. Thank you.  I'd now like to welcome Sharon Taylor, CFO, to begin the conference. Sharon, over to you.
Sharon Taylor: Thank you, operator, and good morning, everyone. With me today are Randy Tauscher, COO. David Cannon, Controller; and Danny Cavin, Director of FP&A; Bob Bondurant, our CEO, will not be on the call as he is recovering from appendicitis surgery last week. I know he hates to miss speaking with you all and looks forward to being back with us for the next earnings call. We all wish Bob a speedy recovery. For today, Randy Tauscher will step in to remark on our third quarter results. Before we do that, I'll remind you that management may be making forward-looking statements as defined by the SEC. Such statements are based on our current judgments regarding the factors that could impact the future performance of Martin but actual outcomes could be materially different. You should review the risk factors and other information discussed in our SEC filings and form your own opinions about Martin's future performance. We will discuss non-GAAP financial measures on today's call. Please refer to the table in our earnings press release posted in the Investor Relations section of our website to find information regarding those non-GAAP financial measures, including a reconciliation of historical non-GAAP financial measures referenced in today's call to their corresponding GAAP measures. I now will turn the call over to Randy.
Randall Tauscher: Thanks, Sharon, and good morning. I'd like to start with the previously announced joint venture between Dongjin USA, Samsung C&T America and the partnership. The joint venture, named DSM Semichem, will produce electronic level sulfuric acid or ELSA used by the semiconductor industry. The partnership will invest approximately $20 million of growth capital to realize between $5 million and $6 million of distributable cash flow. The ELSA facility will have the capacity to produce approximately 25,000 tons annually and is expected to be in operation during the first quarter of 2024. We are excited about this strategic alliance, which provides largely stable fee-based cash flows and leverages existing assets with minimal capital requirements. Let's go to the third quarter results. Adjusted EBITDA for the quarter was $18.8 million compared to $21.5 million in the same quarter of 2021. The third quarter fell short of expectations. However, the first 9 months of 2022 achieved an adjusted EBITDA of $97.1 million, which is well above the 2021 numbers of $75 million for the same time period. Now let's discuss the third quarter performance by business segment, beginning with the Transportation segment, which had adjusted EBITDA of $15.1 million compared to $7.6 million in 2021. Once again, the land transportation group provided strong results with adjusted EBITDA of $12.3 million compared to $7.1 million a year ago. Our average daily load count continued to improve at 519 for the quarter compared to 403 for 2021. We've also increased our driver count by approximately 25% year-over-year. Demand around refinery services remains strong as refiners run at high utilization rates and, combined with our expansion in Central Florida, should continue to drive strong performance into the fourth quarter. The marine transportation business continues to see year-over-year improvement as utilization has increased and rates continue to improve. Adjusted EBITDA for the third quarter was $2.8 million compared to $0.5 million for the same quarter of last year. We see tightness in the inland barge market continuing and expect cash flow performance to remain at this level through year-end. Moving to the Terminalling and Storage segment. We obtained adjusted EBITDA of $12.3 million as compared to $11.2 million for the same period in 2021. We continue to have year-over-year growth in our margin-based lubricants and specialty businesses, which had adjusted EBITDA of $6.4 million compared to $4.9 million a year ago. We benefited from strong margins during the quarter and expect that to continue through the fourth quarter although we typically see a moderate slowdown during the holiday season. We expect cash flows for our fee-based terminalling and storage businesses to remain near current levels through year-end. Next, let's discuss the natural gas liquids segment, which had a slight EBITDA loss of $0.2 million for the quarter compared with a positive adjusted EBITDA of $1.8 million for the same period last year. As anticipated and typical, the third quarter was impacted by low butane sales due to gasoline blending vapor pressure rules. We also experienced falling butane prices, which negatively impacted margins. The butane blending season begins in the fourth quarter and runs through the first quarter of next year. Due to a reduction in the butane prices, we are now forecasting a lower-than-average cash flows for the butane blending season. As a result, we have lowered our adjusted EBITDA guidance for 2022 from the range of $126 million to $135 million down to $116 million to $121 million. Sharon will provide more detail around the reduction in guidance in a moment. Importantly, though, we are only beginning the butane blending season. Therefore, margin improvements may occur if prices begin to mirror historical butane to crude oil patterns. Lastly, we'll discuss the Sulfur Services segment, which had negative adjusted EBITDA of $4.2 million this quarter compared to a positive $4.9 million last year. The fertilizer business had results of a negative $2.8 million compared with positive adjusted EBITDA of $2.2 million in the third quarter of 2021. As usual, our third quarter plant turnaround schedule was extensive. Additionally, although low sales volumes are generally anticipated during the third quarter, sales volumes were approximately 40% of those achieved during the third quarter of 2021 driven largely by the rapid decline in international sulfur prices during the month of July and also high ocean freights negatively impacting the opportunity to export. Looking forward to the winter and spring seasons, weather permitting, we are optimistic that macro factors such as strong crop prices and anticipated corn acres planted will lead to strong demand and business performance. On the pure sulfur side, adjusted EBITDA was a negative $1.4 million compared to a positive $2.7 million a year ago caused largely by the massive Tampa sulfur price decline from $350 per ton in the 3Q to $90 per ton in the 4Q. In addition, we bore higher maintenance costs related to marine assets deployed in the business during the quarter. As with the fertilizer group, we anticipate the remainder of the year to have results in line with previous years. That concludes my comments on the operating performance and outlook for the remainder of the year. And now I'll turn it over to Sharon.
Sharon Taylor: Thank you, Randy. Let's begin with our balance sheet metrics and liquidity. The partnership's bank-compliant adjusted leverage ratio at the end of the quarter was 3.63x, which incorporates our working capital supplement debt carve-out related to our seasonal NGL inventory build. The actual debt increase attributable to the NGL inventory build was approximately $95 million while the maximum debt carve-out allowed for the quarter was $50 million. Now the partnership remains committed to our adjusted leverage goal of 3.75x or lower. Our total debt at the end of the quarter was $547 million, an increase of $53 million when compared to last quarter. This increase was expected as the butane building and storing season concludes in September, at which time our inventory levels are at their highest. Borrowings under our revolving credit facility were a total of $202 million at the end of the quarter. The credit facility borrowings are shown as current on our September 30 balance sheet since the facility matures on August 31, 2023. We are in the process of amending and extending the credit facility and believe we will be successful in that endeavor. Long-term debt in the form of 1.5 lien and 2 lien notes was $345 million with $53 million due in February 2024 and the remainder in February 2025. The partnership has been and will continue to seek an opportunistic time to refinance our outstanding notes but the current market conditions are not constructive. Therefore, we will continue to explore various refinancing avenues ahead of those maturities. Total available liquidity at quarter end was $44 million under our revolving credit facility and the partnership was in full compliance with all covenants. Moving to capital expenditures. Maintenance CapEx for the third quarter was $8.7 million, which was greater than our forecast of $4.3 million. The majority of the increase was at our Smackover, Arkansas refinery as we accelerated the timing of the refinery turnaround scheduled for 2023 to complete needed repairs in the atmospheric power. This acceleration means we will not have another scheduled turnaround at the refinery until 2024. Full year maintenance capital expenditures are now anticipated to be $26.2 million, a slight increase from $25 million. Growth capital for the quarter was $900,000, which was below guidance of $1.7 million. Full year guidance remains $8.6 million and includes $600,000 in expenditures related to DSM Semichem, the joint venture with Dongjin and Samsung. Finally, I'll walk through the revisions to our 2022 guidance, which can be found on Slide 4 of the latest investor presentation posted to our website. As Randy outlined, the third quarter results for both our sulfur and NGL segments was less than our internal forecast as sales volumes were lower than anticipated and commodity price fluctuations resulted in large inventory valuation write-downs. As a result of the third quarter results, coupled with caution around butane blending pricing fundamentals, we have reduced our full year adjusted EBITDA guidance range from $126 million to $135 million, down to between $116 million and $121 million. This decrease brings our forecasted 2022 distributable cash flow range to $38 million to $43 million and forecasted free cash flow to between $29 million and $34 million. Our capital allocation will continue to focus on using free cash flow to reduce our debt to strengthen the balance sheet and position the partnership to take advantage of future growth opportunities like DSM Semichem. This concludes our prepared remarks, and I'll turn the call over to the operator for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Selman Akyol from Stifel.
Selman Akyol: I guess I just wanted to just start on, I guess, the refinancing and how you're thinking about that and, I guess, in particular the revolver. Do you think the notes have to be dealt with ahead of the revolver? Or do you think you can extend the revolver somehow without addressing the notes? Or should we think of it as just all having to be done at the same time?
Sharon Taylor: As we've approached this, Selman, really starting back in the spring and started to discuss it, our thought at that time with those market conditions was that we would really just wrap everything up and refinance the 1.5 to 2 and get the amend and extend done. But as we've moved, of course, through the summer and now into the fall, that doesn't -- that's not constructive for the partnership. Our 2 lien notes are currently 11.5% and that is the big piece of that long-term debt. And we don't see a real need to refinance those at this time. So we have gone through a number of different strategies and we have spoken with our banks. And what we are settled on at the moment is doing the amend and extend with the revolver and then addressing the 1.5 lien notes either in concert with that or directly after. So I think what you'll see the partnership do, hopefully, in the next few months is have an announcement around those 2 pieces of debt.
Selman Akyol: Understood and good luck with that. Then the other thing I just want to talk about is, I guess, the butane blending. And obviously, you took a write-down in the inventory and prices have come in fairly considerably from the springtime. And I think we always kind of knew that was a risk, could these prices really hold up. So just thinking about that, was there any hedge in place at all? Was there any way to even try to hedge that out? And then when you think about sort of going into 4Q, sometimes I guess it peaks in 4Q and 1Q, could we see a strong recovery going into the first quarter of next year?
Randall Tauscher: Yes. The summer season or the spring season, the building season started off at, the energy complex in general, crude oil and oil butane at very high prices and fairly steeply backwardated. And that was a result of what was happening over in Russia and Ukraine and the energy markets at that particular time. So no, we didn't have any time this year to be able to put a hedge in place that would allow us to make money because as you know, as we work our way through the end of June and July and August and September, the crude market continued -- the bears continued to win and the crude market continued to come off as did butane. And so what we typically see in the butane market is a normal butane price relative to WTI crude oil at a percentage in the summer months that's lower than the percentage we sell it for in the winter months. In the winter months, the normal to WTI percentage increases. So this -- in our 11 years in the business, this is the first year we have seen those 2 things flip. We've actually seen a higher price normal to WTI in the summer months than we've seen so far in the winter months. In the winter months, typically, we see the normal to WTI approximately 69% on average, yesterday it was 47%, so much lower than what we've typically seen. But yes, since the end of September, at the end of September, we use whatever -- I mean this is more in Sharon's expertise there. But we use the forward curve in the GAAP accounting rules to do the write-down. And the curve is certainly higher now at the beginning of November than it was at the end of September. So we have seen a little bit come back as the normal price come up a little bit because the crude oil prices have gone up $9 or $10 over the last month and normals come up with it. And yes, we do expect as we start working our way through the winter for normal -- we expect the demand to be great for normal because the price of RBOB is so much higher than the price of normal butane that the demand for normal should be incredibly strong through the next 4 months. So yes, we do see upside in normal from where we're at today.
Selman Akyol: Got it. And then just thinking about still the balance sheet again, any other potential asset sales out there that might be helpful that we should be thinking about?
Sharon Taylor: We don't have anything that we are looking at currently, Selman. I think as we've said before, we're always looking at that to see if there is opportunity for the partnership. But currently, we don't have anything that we're focused on.
Operator: [Operator Instructions] Your next question comes from the line of Patrick Fitzgerald from Baird.
Patrick Fitzgerald: I appreciate you giving the free cash flow guidance and all the guidance quarterly. That's super helpful. What would it look like if you -- when you factor in working capital?
Sharon Taylor: So yes, right now, we're sitting on butane inventory at the end of September valued at approximately $95 million. As I said in my remarks, we can only use $50 million of that for the working capital carve-out. So once we enter the butane selling season, we will monetize the majority of that inventory, bringing back $85-ish million to the partnership.
Patrick Fitzgerald: Okay. So on a full year -- sorry, on a full year basis, that would be -- working capital has been a headwind of $54 million. Do you expect to get $80 million back?
Sharon Taylor: Let me see. I'm not sure that I've got your question as far as the headwind. So as we were laying in butane for the season, which begins in October as far as selling, we have put approximately $95 million in inventory. So at 9/30, we had a working capital need of $95 million starting in April. So we built up our borrowings to that. Now we'll begin monetizing that inventory and we should recover those amounts through the selling season, which ends next March. Hopefully, I'm following your question, Patrick.
Patrick Fitzgerald: Yes, yes, yes. Okay. I didn't hear you say March so my bad. Okay. And then could you just provide a little bit more color on what's happening with the sulfur segment? And what's kind of like a normalized EBITDA from that segment? And when would you expect it to recover?
Randall Tauscher: Yes. So the sulfur business generally, we think about that as a $3 million to $3.5 million EBITDA business per quarter. I'm talking about the pure sulfur side at this point. And we -- and that we expect to recover immediately within the month of October already for the 4Q. We had a $3.3 million write-down because the price of elemental sulfur at the end of June was -- or for the third quarter was $350 and then the price settles for the fourth quarter at $90. And so we had an inventory write-down but that's behind us now. Prices are actually improving in the sulfur business. So we would expect them to be back to the $3 million to $3.5 million quarterly earnings immediately.
Patrick Fitzgerald: Great. Okay. And then just to be clear, you're working with a traditional bank to do this refi of the first -- of the revolving facility and potential refi of the 1.5 lien?
Sharon Taylor: Yes. We are working with the banks that are in our revolving credit facility now or at least a portion of them. And then as far as the 1.5, I'm looking at a variety of different mechanisms to refinance those.
Operator: There are no further questions at this time. I would like to turn the call back over to Sharon for closing remarks.
Sharon Taylor: Thank you, Paulie. While our third quarter results did not match expectations, 2022 will still be a sound year for the partnership. We believe there are further opportunities like DSM Semichem for Martin to expand our services around our existing assets and drive growth and we will continue to seek out those opportunities. I want to thank everyone who joined us this morning and for your support of Martin Midstream. Thank you.
Operator: This concludes today's conference call. Thank you for joining us. You may now disconnect.